Operator: Good morning. Welcome to the CEMEX Second Quarter 2015 Conference Call and Webcast. My name is Sylvia, and I'll be your operator for today. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] Our host for today are Fernando González, Chief Executive Officer; and Maher Al-Haffar, Executive Vice President of Investor Relations, Communications and Public Affairs. And now, I will turn the conference over to your host, Fernando González. Please proceed.
Fernando González: Thank you, Sylvia. Good day to everyone and thank you for joining us for our second quarter 2015 conference call and webcast. We will be happy to take your questions after our initial remarks. We are pleased with our second quarter results. We had a 5% increase in sales with operating EBITDA generation growing by 13% on a like-to-like basis. This is the third quarter with consecutive double-digit growth in EBITDA. Our first half EBITDA was the highest since 2009, despite adverse currency fluctuations with an expansion in EBITDA margin of 1.7 percentage points. This growth was driven by prices for our three core products in most of our operations, better volumes in most of our products in Mexico, the U.S., Northern Europe and Asia, as well as our continue operating efficiencies. We are encouraged by the achievements during the first half of the year. Consolidated domestic gray cement volumes are the highest in seven years. We are on track to meet our $150 million in cost and expense reductions for 2015 with 50% having been realized in the first half of the year. We also have the highest free cash flow levels since 2010, reflecting our initiatives to reduce financial expenses and improve working capital, translating into a record low 23 working capital days. Our controlling interest net income during the quarter was the highest since the third quarter of 2009. On the financing side, we are pleased to announce that as of today we have commitments from 19 financial institutions to fully repay the $1,940 billion outstanding under our facilities agreement maturing a very 2017. The new facility is suspected to have a final amortization of 80% of the principal amount in 2020 and to benefit from a lower interest rate currently 100 basis points lower than that in our facilities agreement. During the quarter, consolidated volumes grew for our three core products. Year-to-date, consolidated cement and ready-mix volumes were the highest in seven and six year, respectively. We achieved record cement volumes in the Philippines and Nicaragua, and record ready-mix volumes in Colombia, the Dominican Republic, Guatemala, Costa Rica, Israel and Egypt. Consolidated prices for our three core products are higher in local currency terms on a year-over-year basis. Sequentially, cement prices grew by 1%, mainly driven by increases in Mexico, the U.S. and the Asia region. In U.S. dollar terms, sequential cement and ready-mix prices remained stable. Now I would like to discuss the most important developments in our markets. In Mexico, our cement and ready-mix volumes increased by 4% and 2%, respectively, during the quarter. We continue to see growth across all the main sectors, especially in the industrial-and-commercial and formal residential sectors. Cement prices as of June were 5% higher than in March and increased 9% from December 2014 levels. On back cement, we had positive traction from our price increases with prices as of June up 9% from March levels and 12% higher than at the beginning of the year. On bulk cement prices have increased 5% in the first half of the year and we have announced a 14% price increase in bulk cement, which represents about a third of our volumes in the country starting in July. The industrial-and-commercial sector was supported by stronger private consumption and consumer confidence. Retail sales have increased in the mid-single digits year-to-date. During the rest of the year, improve manufacturing exports to the U.S. should bolster growth in the sector. The formal residential sector continued to be strong during the quarter. Housing credits granted by government entities and the banking sector have increased in the double digits year-to-date. In addition, subsidies from the National Housing Commission are 88% higher during the first half of the year. In light of this, the subsidy budget for this year was recently increased by 32% and is now very close to last year’s level. This, together with positive leading housing indicators should support continued growth in the rest of the year, although, at a more moderate pace. Regarding infrastructure, although we have seen year-to-date volume growth in the sector, we expect activity during the second half of the year to improve because, first, a high percentage of the projects of the Ministry of Communications and Transportation, which is the most cement intensive were awarded during the first half of 2015, and second, there have been some delays in the start of some projects. These projects should start soon. For the self-construction sector, prospects remained favorable, given continued improvement in indicators including job creation, real wages and remittances. After the positive year-to-date performance, we expect our cement volumes to grow in the mid-to high single digits during 2015. For the second consecutive quarter, cool weather, meaning in the U.S. cool weather significantly affected volumes in our U.S. business. Quarterly cement volumes declined by 1% year-over-year, mainly due to weather and continue weakness in the oil well cement. Pro forma ready-mix volumes rose 7%, while aggregate volumes grew 3%. The growth differential between cement and ready-mix reflects exposure of our cement business to the oil industry, as well as differences in geographical footprint and market segment mix between the two products. While volume growth for cement was below expectations, the business still succeeded in making a strong contribution to profitably -- to profitability during the quarter. EBITDA margin expanded 3.1 percentage points year-over-year and represented the highest margins for the region since second quarter of 2008. Construction growth during the quarter, as well as through other recovery has been driven by the residential and industrial-and-commercial sectors. Housing permits in our four key states, Texas, Florida, California and Arizona grew 8% May year-to-date, consistent with growth at the national level. California and Florida are showing strong double-digit percentage increases year-over-year. We are encouraged by the acceleration in housing permits over the last two months for seasonally adjusted annual rate of 1.34 million units in June over 30% higher than last year, suggesting a stronger second half 2015. Construction spending for industrial-and-commercial is up 30% year-to-date May, reflecting strong growth in all sectors. National contract awards which are based on commencements of a construction project dropped 11% in the same period, largely as a consequence of the bad weather. Florida continues performing at above trend levels with strong double-digit growth. The public sector volumes were flat during the quarter. Total public infrastructure spending is down 5% year-to-date May, with highway and bridge investment registering a drop of 2% versus the same period last year. Spending at the federal level is once again been hampered by the lack of visibility with regard to the Federal Highway Program, which expires at the end of this month. Increased state spending, as well as ongoing [TCS] [ph] projects to upset much of the Federal Highway Program spending weakness. With regard to the Federal Highway Program, there has been encouraging progress recently in the Senate to push for a Large Multiyear Spending Bill. However, given the rapidly approaching July 31st deadline, we believe that the most likely scenario is another short-term extension of the existing program until year-end on a fairly flat level of spending. In April, we implemented cement prices increases in California, Arizona, Texas and Georgia, along with ready-mix and aggregate price increases in California. On the heels of the successful cement increases price rose 2% sequentially. For the regions where we raise cement prices in April, price increased 6% sequentially. Ready-mix prices also increased 1% sequentially, while aggregate prices were flat due primarily to product mix. In our Northern Europe region, like-to-like volumes for our three core products increased during the quarter. In the case of cement, the growth was in double digits. Quarterly EBITDA on a like-to-like basis also grew the double digits with the margin improvement of 1.7 percentage points. Regional like-to-like cement and ready-mix prices in local currency terms are up 3% and down 1%, respectively, on a year-over-year basis. The sequential decline in regional cement and ready-mix prices in local currency terms is largely explained by a country mix effect. In Germany, the 13% increase in pro forma cement volumes was driven mainly by the residential sector. Like-to-like cement prices for our current operations remained stable sequentially in local currency terms. The infrastructure sector should continue to benefit from higher tax revenues, translating into incremental spending, especially in transportation projects. Residential activity should also benefit from low mortgage interest rates, low unemployment, rising purchasing power and growing immigration into the country. We should more than offset restrictions such as land availability and regulatory caps on rental increases. In Poland, our market position has remained stable during the last four quarters. The 43% increase in cement volumes reflects a historically low level in the second quarter of last year. Regarding ready-mix, our volumes benefit from increase activity in our mobile business, as well as a new plant. While some infrastructure projects and residential developments started during the quarter, there have been delays. We remain committed to our price and initiatives. Our price in local currency terms increased by 1% sequentially and at 2% higher compared to December 2014 levels. In France, our ready-mix and aggregate volumes were affected by the continued macroeconomic weakness. Housing sales have improved as a result of government's initiatives, which include a buy-to-let program on stimulus package. As home inventories decreased, this should have a positive effect on new housing starts. In the United Kingdom, our cement volumes grew by 8% during the quarter despite the temporary effect on the pre-election uncertainty. The decline in ready-mix volumes reflects our focus on profitability. The residential sector should continue to contribute to demand growth, particularly in the southern half of the U.K. In the industrial-and-commercial sector, the results of the election home providing continuity, uncertainty for business investment. Higher activity in the sector should come mainly from office projects, retail and warehouses. In addition, the recent vehicle excise taxes announced in the country should translate into additional funds to upgrade the road network in the medium-term. In the Mediterranean region, like-to-like domestic cement volumes declined by 17% during the quarter. Regional ready-mix volumes increased by 9% in the same period, driven by improved performance in Israel, Egypt and Croatia. Regional prices for ready-mix and aggregates are up 2% and 4%, respectively. While like-to-like cement prices increased 1% in local currency on a year-over-year basis. In Egypt, the decline in our cement volumes is a result of lower activity due to Ramadan, which came 12 days earlier this year, as well as high-volume base last year when we dispatched additional volumes in light of the then prevalent energy shortage environment. Cement demand in the country has grown in the low single-digits year-to-date. Quarterly cement prices in local currency terms were 2% lower on a sequential basis and 4% lower year-over-year, reflecting additional volume revenue stream. Regarding energy, we expect to start switching our kiln fuel from Masatt to petcoke, starting in the fourth quarter of this year. We are currently in the process of installing the petcoke grinding mill for this purpose. During the rest of the year, the formal residential and infrastructure sectors should show the increased activity. In Israel after the usually wet weather during the first quarter of the year, our ready-mix volumes increased by 9% during the second quarter and by 2% year-to-date. In Spain, pro forma domestic cement volumes declined by 7%. This negative variation results from a thought comparison with the same period last year. However, total cement volumes, including clinker and export cement increased by 9% during the quarter on a like-to-like basis. Sequential cement prices remain relatively stable. The reported 1% decline reflects a region mix effect. Pro forma cement prices in local currency terms increased by 15% on a year-over-year basis and by 7% from fourth quarter levels. Operating EBITDA in Spain has been improving as a result of higher total volumes on prices, our favorable operating leverage effect and our focus on profitability. The infrastructure sector should continue to be supported by lower pressure for fiscal austerity measures, favorable financing conditions and pre-electoral activity. The residential sector is also benefiting from improved credit conditions, employment and consumer confidence. Increased credits for home purchases and housing permits, as well as the stabilization of home prices should continue to have a positive effect on this sector for the reminder of the year. National cement consumption is expected to grow in the mid-to-high single digits for this year. Going forward, we expect to continue to see a favorable operating leverage effect in our margins in Spain, as our volumes continue to improve and as we realize the expected synergies from the integration of the acquired cement assets. In our South, Central America and the Caribbean region, quarterly ready-mix and aggregate volumes increased by 4% and 1%, respectively. While cement volumes were flat, we are pleased with the positive demand environment in Panama, Dominican Republic, Costa Rica, Puerto Rico and Nicaragua during the quarter. I will give a general overview of the region and for additional information you can also see CLH quarterly results, which were also reported today. The regional decline in margins reflects in part, higher maintenance during the quarter in Panama and Costa Rica. Our country mix effect with lower contribution from the Colombian operations and the impact of FX on our dollar-denominated costs. In Colombia, our cement volumes declined by 7% year-over-year, but improved 11% sequentially, reflecting a partial recovery of our market share lost in the first quarter as a result of our pricing increase. National cement consumption year-to-date has grown in the low-to mid-single digits. Our ready-mix volumes increased by 3% during the quarter, while aggregates volumes were flat. Cement prices in local currency terms increased by 1% sequentially and by 2% year-over-year. As of June, cement prices are 7% higher from December levels. The month from the residential sector should continue to be bolstered by the values of government and housing initiatives including a free home program, mortgage interest rate subsidies and others. The infrastructure sector should continue to be an important contributor to growth of the country. The government approved $1.6 billion to finance infrastructure under the recently announced stimulus plan and in addition, projects under the 4G infrastructure program will support this sector in the mid-term. In Panama, we saw positive performance in our three core products during the quarter. Cement volumes excluding volumes through the Canal project increased by 18%. The year-over-year increase in cement prices mainly reflects a mix effect from lower demand through the Canal project. The residential sector continued to be the main driver for cement demand in Panama during the quarter, supported by middle-income housing activity. Regarding infrastructure, the government has announced a five-year $11 billion public investment plan, which includes supporting projects such as the Metro system expansion, interstate highways, water management among others. In Asia, cement volumes increased in the double-digits during the quarter. Regional cement prices in local currency terms improved by 3%, both sequentially and on a year-over-year basis. In the Philippines, we also saw double-digit growth in cement volumes, driven by improvements mainly in residential and industrial-and-commercial activity, as well as a better ability to serve our markets through the introduction of the new cement grinding mill at the end of the second quarter of last year. For the remainder of the year, the residential sector should continue to be supported by increased remittances, stable inflation and low mortgage rates, as well as by higher housing demand from frame-based Filipinos. Regarding infrastructure, the government is expected to ramp-up its spending during the second half of the year after some delays in project implementation. In summary, we are encouraged by the performance of our operations in Mexico, the U.S., North Europe and Asia. Additionally, we are pleased with the growth in local currency prices in most of our regions, reflecting the continued positive outcome of our value-before-volume strategy. And now, I will turn the call over to Maher to discuss our financials.
Maher Al-Haffar: Thank you, Fernando. Hello everyone. Net sales on a like-to-like basis increased by 5% during the quarter, while operating EBITDA increase by 13%. There was higher EBITDA contribution from Mexico, the U.S. and Asia. On a year-over-year basis, we continued to see the effect of the depreciation of some currencies versus the U.S. dollar. The FX impact on our EBITDA during the first half of the year was approximately $145 million. As we commented last quarter, typically currency devaluations translate into input cost inflation, which tends to put upward pressure on prices with some lag effect. Our operating EBITDA margin during the quarter increased by 1.7 percentage points on a year-over-year basis. This margin expansion reflects better prices and volumes, a positive impact from the integration of our recently acquired assets during the transaction -- related to the transaction with Holcim, as well as operating efficiencies. The impact of these efficiencies is reflected in the 1.9 percentage point decrease in cost of sales as a percentage of net sales during the quarter. Operating expenses also as a percentage of net sales declined by 0.2 percentage points as efficiencies were partially offset by higher distribution expenses. Our kiln fuel and electricity bill on a per ton of cement produced basis, declined by 7% during the second quarter and by 2% year-to-date. During the quarter, our free cash flow after maintenance CapEx was $102 million compared with $63 million in the same period in 2014. This is mainly explained by lower financial expenses and a slight reversal in the working capital investment, which more than offset the higher cash taxes during the period. Working capital days for the first half of the year reached 23 days, a new first half record compared with 27 days in the same period in 2014. As in prior years, we expect to recover most of the investment in working capital during the second half of the year. We had a foreign exchange gain of $37 million, resulting primarily from the fluctuation of the Mexico peso versus the U.S. dollar. The controlling interest net income during the quarter was 50% higher than last year’s and the highest since the third quarter of 2009. The higher year-over-year net income reflects higher operating earnings before other expenses net, as well as lower financial expenses and income taxes. We continue with our initiatives to improve our debt maturity profile and strengthen our capital structure. During the quarter, total debt plus perpetual securities declined by $774 million. This decline in debt reflects the following transactions. First, the redemption of our 2020 senior secured notes as well as the September 2015 FRNs. Using the $588 million cash reserve created last quarter and proceeds from the revolving line of our syndicated loan facility. Second, during the quarter, we converted $304 million of our 2016 convertible notes. An additional $321 million of these notes were exchanged for new 2020 convertible notes with the same economic terms then the ones issued in March this year. Also, during the quarter we had a negative conversion effect of $72 million. With the transactions mentioned earlier, we continue to extend the average life of our debt, lower our cost of funding and significantly reduced refinancing risk. As Fernando mentioned earlier, we have commitments from 19 financial institutions to fully pay the approximately $1.94 billion outstanding under our facility agreement. We have included a pro forma debt maturity profile that reflects this transaction, which is expected to close in the following weeks, of course, subject to the execution of final documentation and satisfaction of certain conditions. Our maturity profile is very manageable with $352 million of convertible notes maturing in March 2016. And once the facility’s agreement financing is complete, about $373 million in bank loans due in September 2017. Now Fernando will discuss our outlook for the year.
Fernando González: For 2015, we reaffirm our guidance for cement and aggregates volumes provided last quarter. We now expect our ready-mix volume to grow in the mid single digit. Our guidance for the different free cash flow on other items we usually provide, including cost of energy, CapEx, working capital, cash taxes on financial expenses remains unchanged. In closing, I want to emphasize that we continue to see profitable demand growth throughout our portfolio. We have delivered strong first half results despite headwinds caused by currency fluctuations and volatility in the financial markets. Our year-to-date EBITDA generation and EBITDA margin were the highest in several years. We also continue to improve our working capital, reaching a record low 23 days. In closing, I would like to reiterate the messages we provided last quarter related to how we are responding to this volatile environment, on our further bolstering our role to investment grade. For 2015, we are pursuing first cost and expense reductions of $150 million. On this front, we have achieved approximately half of these reductions within the first half of the year. Second, free cash flow initiatives of $200 million, half in working capital investment and half in financial expenses. Year-to-date, we have lower working capital investment of $170 million, a lower net financial expenses of $88 million. Third, we are targeting to pay between $500 million and $1 billion of debt this year. And fourth, as part of our ongoing efforts to optimize our portfolio, we expect to sell assets for $1 billion to $1.5 billion in the next 6 to 12 months and proceeds of which will be used mainly for that production. Thank you for your attention.
Maher Al-Haffar: Before we go into our Q&A session, I would like to remind you that any forward-looking statements we make today are based on our current knowledge of the markets in which we operate and could change in the future due to a variety of factors beyond our control. In addition, unless the context indicates otherwise all references to pricing initiatives, pricing increases or decreases refer to our prices for our products. And now, we will be happy to take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from Benjamin Theurer from Barclays.
Benjamin Theurer: Hey, good morning, Fernando. Good morning Maher. Thanks for the call.
Maher Al-Haffar: Good morning.
Fernando González: Good morning.
Benjamin Theurer: Actually, couple of questions on different regions. So maybe to start off with the United States, so obviously volume and you’ve mentioned it, so there was an effect negative from weather and oil well cement, mostly bringing down cement volumes by about 1% compared to last year and we’re seeing that ready mix volumes which reflect little more of the housing activity in the U.S. has been again quite strong in the second quarter. Can you quantify or can you give a little bit of an indication of how much of that decline is actually all oil well related and how much is more weather related? And what do you expect to recover into the second half of this year as weather hopefully at some stages is going to improve so that would be first question. Then I have two minor other questions if we could prefer going to that because that’s the most pressing one actually.
Maher Al-Haffar: Okay. Ben, thank you for the question. As we saw, the volumes were down 1% for our business. We estimate roughly about four percentage points drop due to the oil well cement business. The decline has been quite dramatic as you know it continued into the second quarter. We think it stabilized and we do see new rigs actually starting to decline. Now weather, it's difficult to -- it's difficult to guesstimate how much that is impacting. All I can tell you is that May was literally the wettest month in over 120 years. June was the nine wettest days since June and Texas of course, the market that has been most exposed to weather patterns had 67% more rain days than the second quarter of last year. And so clearly the impact has been quite -- quite significant on our volumes at the end of the day. I don’t know if that answers your question.
Benjamin Theurer: Okay. Perfect. Yeah. That’s pretty good. With that four percentage points on oil well, I can make up for the rigs basically. And then, two question which ones related to your pricing strategy. So we're seeing that you've been able in local currency churns because obviously FX, no one knows what’s going to happen. But on the local currency increases that we've seen you've been quite successful with price increases, especially in Mexico, U.S. and -- as well in Asia, which was sequentially and year-over-year. Now you've explained within the different regions more in Europe, Mediterranean, South and Central America. Sometimes it was mix effect and sometimes it was just because we didn't start pricing prices and actually we’ve seen some sequential declines here in the European and the Mediterranean area. What are your plans in terms of price increases because usually you come out with what you are doing in Mexico, what you are doing in the U.S.? But do you have anything stated in terms of plans for price increases in the Northern Europe and in the Mediterranean region as well equally to South and Central America just in order to get little sense while we’re going into the second half here on price increases especially in local currency terms to get a feeling where prices might go through the rest of the year? And on asset sales, is there any update despite what you've just set within the next 6 to 12 months? Any indication, anything you would expect which might happen shorter term or is it really nothing to close yet? Those would be the final two questions. Thanks.
Fernando González: Benjamin, in the case of asset sales, we are doing progress but we don't have any specific transactions to announce. As you can imagine, given the size of the transaction, we’re trying to do as soon as we make it, we will be making proper communication. But as of today, we don't have any specific transaction to share.
Benjamin Theurer: Okay. That’s okay.
Maher Al-Haffar: As far as pricing, I mean, as you as you saw in Mexico and we mentioned, I mean, Fernando mentioned in his remarks, the different pricing increases that that have been announced. We’ve got very good traction so far. And we expect that traction to continue and in the U.S., I would say again just as a reminder for the quarter, we had prices up in cement 7% quarter-over-quarter -- I mean year-over-year. For the first half, prices were up 8%. The April pricing increase that was essentially, California, Texas and a couple of other lesser important states, was quite successful. We've got pricing increases there effectively somewhere between the 6% to 8%. Now one thing I would like to cautious on U.S. pricing and that is that when we report pricing, we are reporting CIF pricing, meaning we are including transportation in the price. And what has been happening is a couple of very important dynamics that actually translate to an understatement of the pricing increases. Number one, as you know, transportation fuels in the U.S. have dropped an important amount. In fact, they have dropped so much that they offset pretty much all of the loss in volumes in Texas for instance, just to give you an idea of how significant that is. But more importantly, all of our -- all of our oil well cement is delivered. It traverse long distances and there is $20 to $25 worth of transportation surcharges. And those distort the mix. So 6% to 8% that's probably understating the gross amount as happening. And in terms of additional announcement, I think the only announcement that we have as outstanding is the October one. And we'll have to wait and see, we’re cautiously optimistic about that. In Europe, in Spain, we have 10% pricing increase for the second half and we're optimistic about that. In the U.K., unfortunately we’re not allowed to comment about pricing increases in that market but volumes have been very good as in Spain. And Germany, we've had earlier --we’ve had pricing increases during the quarter that are gaining some traction. Colombia is another market where we are very actively looking at returning to profitability prior to the devaluation in dollar terms and that's translating to higher pricing actions. And there, there's been a number of pricing increases, the latest in June, 8% in local currency churn. I don't know if that -- does that address your question, Ben?
Benjamin Theurer: Perfect. Thank you very much, Fernando, Maher. Thanks. Very clear.
Maher Al-Haffar: Thank you.
Fernando González: Thanks.
Operator: Next question comes from Vanessa Quiroga from Credit Suisse.
Vanessa Quiroga: Hi. Thank you for the call. My first question is regarding Mexico. Just to cover a better sense of what the support for volume could be. If you look at the past 12 months, if you give us sense of the backlog of infrastructure project has come down, potentially explained by government budget pressures or have you seen that your backlog pretty much remained stable? And the second question is regarding Colombia, you reviewed the volume guidance. Can you explain what change in your outlook when you started that year and what maybe could change this volume guidance now? Thanks.
Fernando González: Hi, Vanessa. Regarding Mexico, what we see is that the industrial-and-commercial sector is having a strong performance, the stronger out of the four sectors, an increase of about 13% year-to-date and 8% on the quarter compared to quarter last year, followed by foremost housing, which continues also being strong. And as we commented, we believe it will continue to be strong during the rest of the year. Infrastructure, and as commented because of the projects that are already going on that they are on execution and the ones that were put in motion during the first half of the year, we think that the activity will remain strong also. During the quarter, it increased 2% compared to quarter last year. And year-to-date, it’s been already 6%. The sector that grew the less during the quarter is self-construction, it grew 1%. It had a difficult comparable base with the 2014, second quarter 2014, but we believe that it will somehow improve because of mainly two reasons. Remittances in peso terms are 19% higher. This is May year-to-date figures. And also job creation is increasing, it’s 4%. And as you for sure already know retail sales are also increasing about 6%. This is June year-to-date figure. So that’s more or less the explanation on the bottom we’ve had so far and why we support our guidance and volumes in Mexico.
Maher Al-Haffar: The second question was Colombia.
Vanessa Quiroga: Okay. And regarding Colombia?
Fernando González: Yes. Colombia, as you know, volumes dropped 7% year-over-year and what’s really important to mention here and of course there is a pricing dynamic there that translated to some of the volatility in our participation in the market. What’s really important to highlight there is sequentially we believe the pricing dynamics have started to improve and get traction and sequentially volumes are up 11% for us, which is important. So we are beginning to recover some of the market share that is lost in the first quarter. Volumes declined 15% in the first quarter, but it’s very important that that comp was extremely difficult because if we take a look at last year’s first quarter, we had an increase of about close to 34%, 33% I believe. So there is some adjustments in terms of our footprint with our clients and we think that’s adjusting favorably now. We are recovering. On the pricing side, what’s really important is that on a point to point basis, meaning end of December to end of June prices in local currency terms are up 7%. And we continue to manage our pricing strategies to recover prices in real terms and to some extent dollar terms as well. Now we did downgrade our guidance a little bit because there has been some delays, the first half has been a little bit challenging, but we continue to be very positive on Colombia with all of the -- despite the budget adjustments that they have made. There is still $1.6 billion of unused royalties that will be used in the infrastructure side, and we continue to be very constructive on both housing and the prospects for infrastructure in the country.
Vanessa Quiroga: Okay. Would you be comfortable in probably reaching or normalizing your market share at a lower level than you have had before focusing on profitability?
Fernando González: That’s tough one to talk about. We don’t like to kind of predict what happens. What I can tell you is that we believe we have some of the best product offerings and solutions and historically we have recovered the exposure to our clients that we have had on continuing basis and our market share has been relatively stable. So I wouldn’t -- I don’t want to speculate, but certainly history proves that we have been able to do that.
Maher Al-Haffar: The question is about being comfortable. No, we are never comfortable while losing market share, Vanessa.
Vanessa Quiroga: Okay. That’s very useful. Thank you, Fernando and Maher.
Maher Al-Haffar: Thank you, Vanessa.
Operator: Next question comes from Carlos Peyrelongue from Bank of America Merrill Lynch. Good morning, Maher. This is [indiscernible] sitting for Carlos today. I wanted to go back to Ben’s question on US pricing. If I am correct, you’re planning for the second half of the year increments of $11 per tonne in Texas and California and Florida. My question is, is still the case especially in Texas within that’s happening? And I also understand you have an impairment fee of $5. Is this still scheduled to be applied in September?
Fernando González: Yes. The only pricing, I mean as far as the remaining pricing for 2015, it’s really October and essentially it’s a $7 pricing increase in California and about a $10, $11 pricing increase in East Texas. West Texas of course has been very difficult. And we’re cautiously optimistic about both of those two pricing increases. In terms of the environmental charge, I mean we definitely are going for that. That’s a $75 per load charge and that’s on cement. So far, we have seen very little support for that, but we are still trying very hard and we are still waiting to see how the market reacts. Again, it’s a $75 per load on the cement side. Thank you. And in the Texas market, we’ve talked in the past about Proposition 1, the bill proposed by the government of Texas to propel demand. Do you have any additional details you can provide us on that and when do you expect activity to restart in the state?
Fernando González: Well, I mean, what I can tell you is that the Prop 1 has pretty much kind of dealt with two years already. I mean, it’s transferred 1.7 billion into the Highway Trust this year and we guesstimate about a 1 billion in 2016. And the comps next year should be a lot easier. I think what’s very important to note is Texas continues to be sold out. Texas continues to require bringing cement from other markets, neighboring markets in order to satisfy demand. And frankly, despite what has happened to our volumes in Texas, our EBITDA generation of Texas is actually as good or better than before. And I would say that most of the -- if not all of the EBITDA margin loss from the oil well cement volumes has been offset completely by the reduction in transportation cost in the ready mix business. Okay. Thank you. That’s very clear.
Fernando González: Thank you.
Operator: And now we will have a question from the webcast.
Francisco Chavez: Okay. The question is from Francisco Chavez from BBVA. Hi, gentlemen. And thanks for the call. Congratulations for your strong results. That’s actually on the screen, I didn’t add that. My question is regarding working capital. What are the regions with the highest improvement in working capital days and how sustainable is current level of 23 days?
Fernando González: The countries with the most of improvement are the US and Mexico, I mean there are other improvements, but it’s mainly the US and Mexico, on our fronts, payable, inventories, receivables. And I do believe that is sustainable and even I do believe we can still improve it. As you know last year we had a record level of working capital. It was like 26 days during the year. And in the first half, we have already improved it to 23. And I do expect for the second half to be slightly lower than 23. We have been doing -- we have been executing an initiative in order to improve working capital in the company in these two countries because of their size and because of the working capital that they used to have are going to continue being the ones providing all the upside on this front. So it is, we will maintain and even improve it.
Maher Al-Haffar: Operator next question.
Operator: Our next question comes from Nikolaj Lippmann from Morgan Stanley.
Nikolaj Lippmann: Hi, good morning. And thanks for taking my question. Two quick questions if I may. First, in Spain, I was wondering if you can share capacity utilization and maybe a bit of a call on how much of the production that you sell in Spain and how much you’re exporting? And then the second question was sort of a strategic in nature you will say. But how should we think about the stake in [TCC] [ph]. And I am asking because it could be considered that could be sold but no EBITDA impact? Thanks.
Fernando González: Capacity utilization in Spain has got a difficult to talk about. I mean, obviously there is a lot of capacity, there has been lot of capacity that’s been shutdown. There has been consolidation. And from peak to trough, I mean we’ve had a huge correction, Nik. What I can tell you is that in Spain close to two-thirds of our production is going into the export market at a reasonably healthy margin and prices have been getting better. Now the reality is that some of the markets that we acquired in the transaction with Holcim had slightly different pricing levels and we’re trying to integrate those markets into our levels and that takes a little bit of time. But we’re very optimistic in achieving that in the next few quarters. But there is lots of available capacity, but that doesn’t really dictate the kind of profitability dynamics in the market. I don’t know if that addresses your question?
Nikolaj Lippmann: Yeah. I think it does. And in relationship with Chihuahua?
Fernando González: Well, in the case of Chihuahua we have not included Chihuahua in our potential divestments plan, the one that we have already commented, so it’s not included.
Nikolaj Lippmann: Got it. Okay. Thanks.
Fernando González: Thanks.
Maher Al-Haffar: Thank you, Nik.
Fernando González: Operator?
Operator: And our next question comes from Adrián Huerta from J.P. Morgan.
Adrián Huerta: Hi. Thank you. Good morning, Fernando and Maher. Thank you for the call and congratulations on the results.
Fernando González: Thank you.
Adrián Huerta: Just on the -- on -- Fernando on the pricing that you were mentioning at the beginning in Mexico, if you can just comment again the price increases that you’re expecting for the coming months in Mexico, please?
Fernando González: Yeah. Just give me a second. So we have announced pricing increases, two pricing increases on bulk and bags in May. On bulk, we had a 14% pricing increase and on bags, we had a pricing increase earlier at the year in March and then another one in May 7.5% and 7.5%, so that’s about 14%. And then earlier in the year, we had also a 9% increase in bulk and 6% increase in bags and there's also an increase in July on the bulk as well. And we’re getting good traction. And we’re getting good traction on all of these increases. And I just -- I may have -- I’m thinking about May, I really should have been thinking about July. So the pricing increases that I mentioned in May are actually July pricing increases. I apologize about that. So it's 14% in bulk in July and 7.5% in bulk in July.
Adrián Huerta: Perfect. Thank you.
Operator: Next question comes from Adam Thalhimer from BB&T Capital Markets.
Adam Thalhimer: Hi. Good morning, guys. Nice quarter.
Fernando González: Thank you.
Maher Al-Haffar: Hi, Adam.
Adam Thalhimer: I wanted to ask first about the Taxes volumes? I know you mentioned the rain headwind, particularly in May, what were volumes like in June and July?
Maher Al-Haffar: June continued to be a little bit on the wet side, July of course, the month is not over. But year-to-date on a national basis, not necessarily taxes, I mean, we’re talking about the whole business reflecting the improvement in weather was up by about 5% so far. So we're clearly seeing a very good response in contractors and builders in general that when there is good weather out there, they’re trying to go out as quickly as possible and take advantage of that to put construction in place. Now weather for the end of the year, the market will have the capacity to process all of the pent-up demand in time to kind of give us the necessary growth that the second half of the year or not remains to be seen. But, frankly, every time we’re seeing good weather, we’re seeing a very, very healthy response from the markets in terms of going out there and executing construction put into place.
Adam Thalhimer: Okay. That’s great color. Thanks. And then, I wanted to ask about highway spending, because in the U.S. awards are up the state, federal obligation is down and highly build uncertainty, which you talked about? Are you seeing that phenomenal on the ground, like any benefit from really strong awards?
Maher Al-Haffar: I think, the big problem with highway construction that we've seen in the first half of the year, frankly, I mean, you have some uncertainty because of the highway build, which by the way we think its probably getting one of the highest buy partisan support for a long-term build than we’ve ever seen and while we don't think anything to happen as Fernando said in his comments July. We do, we’re crossing our fingers and hoping that we do get a long-term bill fairly soon. But what we have seen is that, clearly, construction put into place and to some extent awards have been hampered by weather patterns as well. So that has been an issue and we should see better execution there as weather improves.
Adam Thalhimer: Okay. And then lastly on Mexico, I mean, after next day you talked about after the June elections there was a risk of lower federal support for projects? Is that still a risk or how is that playing out?
Fernando González: We don’t see -- as we commented, I think in Vanessa’s question. So far, we have not seen it but again, it is soon to say, need to wait and see but so far so good.
Adam Thalhimer: Okay. Thanks so much.
Fernando González: Thank you.
Maher Al-Haffar: Operator?
Operator: Our next question comes from Marcos Assumção from Itaú BBA.
Marcos Assumção: Hi. Good morning, everyone.
Fernando González: Good morning.
Marcos Assumção: Good morning, Maher and good morning, Fernando. First question on free cash flow. Is it fair to expect a positive free cash flow of around $200 million for the year before the asset sales?
Maher Al-Haffar: Well, I mean, as you know, it’s difficult for me to kind of comment on that because by definition, I’d have to be giving you some kind of an outlook on the topline, on EBITDA. I mean, what I can tell you is that, we don't see any major changes in terms of our guidance and in terms of maintenance CapEx, strategic CapEx. I mean we’re on target in line. Cash taxes, we maybe on the lower end of that range. Working capital, you heard Fernando, I mean, he is expecting better than what we are talking about here in terms of performance. Interest expense, we talked about already realizing $88 million this year. That would put us probably a little bit ahead of what we’re guiding. And then energy frankly, we’re talking about just a slight drop. So, I mean you can do the arithmetic depending on what your number is for the EBITDA, but it's difficult for me to -- it would be difficult for us to kind of validate a number.
Marcos Assumção: Okay. I made a very simplified calculation here by using the -- doubling the interest expenses of first half, which will get to $1.2 billion and using your guidance for CapEx, taxes and working capital, which is $800 million for CapEx, taxes of $600 million for taxes and $50 million for working capital. So, we’ll get to a negative flow of $2.65 billion. And just if we assume the same level of growth that you had in the first half on your EBITDA, we will get to the $200 million. So assuming that your EBITDA growth will continue or will improve, we will get to at least $200 million, that’s kind of where I would like to get with you. But anyway, it depends a lot on the EBITDA assumptions but it is fine. Second question here, my…..
Maher Al-Haffar: Yeah. The only thing I’d like to question you on your assumptions is the doubling of interest expense. I mean clearly, there are refinancing activities there that may impact that but that’s fine tuning, so maybe we can go to the next question.
Marcos Assumção: Perfect. Perfect. Okay. Fair point. Second question on Colombia. You mentioned that you regained a little bit of market share loss in the first quarter when you try -- when you started to increase prices. But second quarter volume is specifically were down 7% on a year-on-year basis. So what does that mean? Is that the marketing Colombia decline more than 7% in the second half of the year?
Maher Al-Haffar: The market continued to grow, but in kind of, about a low-single digit level. I think what's important is to focus on the sequential gain. Our volume sequentially first quarter to second quarter grew by 11%. I mean, in order to talk about the comparison of year-over-year, we’d have to talk about what happened, what was happening last year. I think the most indicative of the dynamics that are taking place, both of pricing and market share recovery is really the 11% sequential increase between first quarter and second quarter.
Marcos Assumção: Okay. So, you’re improving on an absolute basis, on a sequential basis but not necessarily on a relative basis.
Maher Al-Haffar: Correct.
Marcos Assumção: Okay. And last point on the pricing in Colombia. Looking at the second quarter results, we see that local currency prices improved by 2%, while prices in U.S. dollars declined by 22%. I thought that the decline in prices when measured by U.S. dollars will be stronger, given the stronger Colombian peso depreciation, now that 31% Colombian peso depreciation. Given that the math is not that precise, can you explain me why?
Maher Al-Haffar: I mean, there is no mystery. I mean, we could certainly circle back with you after the call to go through it. And I would say that's a very good question to ask Carlos Jacks on the CLH call if you don’t mind. But we can also -- if you feel you didn’t get that answer, we’ll circle for a follow-up.
Marcos Assumção: Just a follow-up.
Maher Al-Haffar: Yeah.
Marcos Assumção: Go ahead, Maher.
Maher Al-Haffar: No, no. If you for whatever reason, you get an incomplete response there, please feel free to give me a call and we’ll address it afterwards.
Marcos Assumção: Sure. Last point on Colombia, with the additional Colombian peso depreciation that we’re seeing right now, the peso is already 10% weaker than the second quarter average. Is CEMEX planning another round of price increases to recover the profitability in the country?
Maher Al-Haffar: Well, I mean we have just announced something in June, obviously to recover some of the -- so we have an 8% pricing increase in June. And as I said and again, I think that you should ask that question to Carlos. But our aim in Colombia is to recover our profitability in dollar terms that we had prior to the devaluation. Now, of course, that means important improvements in pricing in local currency terms because as you’re saying, the peso has weakened materially.
Marcos Assumção: All right.
Maher Al-Haffar: Now, we do -- one think of course that we need to highlight here is that in Colombia like in most of our portfolio, we have a very significant local currency component cost. And that is offsetting the topline impact of the depreciation rate.
Marcos Assumção: All right. Perfect. Thank you very much, Maher.
Maher Al-Haffar: Thank you.
Operator: Following question comes from Mike Betts from Jefferies.
Mike Betts: Yes. Thank you very much. I had, I think, three questions. First, the U.S., we’ve not talked much about Florida. Could you talk about what’s been going on in volume and pricing in Florida? Secondly, on the financing, maybe don't want to give details at the moment but does it just push out the EBITDA to debt-to-EBITDA target? And does it require any divestment? Are you prepared to give any further color on that? And then my final question on energy. I take your point that major benefit so far has been on the lower diesel cost. Do you have figure for what the group diesel cost is, so that we could kind of make some estimate externally as what the full year benefit might be? Thank you.
Maher Al-Haffar: Although thinking about group diesel account, I think we don’t have it. We can get, certainly get back to you on that. Maybe I can start with the Florida question. I mean, we had very good traction -- we had very good traction on the January pricing. We had a July pricing increase that was into effect. Unfortunately, that pricing increase -- hello Mike, Mike, hello. Mike? Operator, are we still on.
Mike Betts: I can hear you Maher.
Maher Al-Haffar: Okay, Mike. Okay, good, good. Excellent. Thank you. I just heard a beep and I thought that we lost you.
Mike Betts: You did temporarily. I heard you said about January price increase stock and then July and then you went dead.
Maher Al-Haffar: Yeah. July, unfortunately, did not get support from our couple of the competitors there. And so we had to frankly retract that. But we had a healthy level of increase there. We are expecting a low single digit growth in Florida. There is a large infrastructure project in the second half of the year. The residential, industrial-and-commercial dynamics are very positive. Permits in Florida are one of the highest in the country. They are up 20% year-over-year. We are very optimistic on the back half of the year in terms of improving supply-demand dynamics there.
Mike Betts: Okay.
Fernando González: And what was the question on the financing?
Maher Al-Haffar: Could you ask the question?
Mike Betts: Yes. You’ve given the interest saving. My question was whether you’re prepared to talk about whether -- because often in these refinancings have required the level of the estimates to be made, joining the period and also the net debt-to-EBITDA covenants. What happens to them, have they been just pushed out three years is how we should look at it?
Fernando González: Regarding divestments, there were no divestments related to the deal. Once that we’ve been announcing that as you know, we did it since last January, they have not changed. I mean, the area of divesting $1 billion to $1.5 billion anytime for now to June next year. So there are no changes. Pardon?
Mike Betts: No additional divestment?
Fernando González: Not at all.
Mike Betts: Okay.
Maher Al-Haffar: And Mike on the covenants, number one, there is no change in the guarantor or collateral package from the facility terms that we negotiated late in the fourth quarter of last year 2014 facilities. So we are maintaining the guarantor-collateral structure. On the covenant side, we have managed to negotiate a better covenant terms. This is -- we took the opportunity of the improving credit standing of the company and certainly the outlook. And we did negotiate a leverage covenant that is six times, starting at six times. And it tightens by roughly at quarter of a turn. Throughout the life, there is one year, I believe, I forget that it tightens towards the end. It tightens by about a half. But this is something that we’re finalizing with the financial institutions that are participating but clearly, and it ends in June 2019 at four times. And again, I’d like to stress this is a reflection of the positive feeling that the financial institutions that are supporting us in this transaction, their comfort level with the companies improvement, improved credit standing and obviously the outlook of our business. And we should -- I mean, we expect to close this transaction over the next few weeks. As soon as we do that, we will be disclosing the full terms and conditions.
Fernando González: I don’t think you have any other questions. Do you have any other questions? Yes, I’m sorry, go ahead, Mike.
Mike Betts: The only other one is on the diesel bill, but it sounds that you probably didn’t have that time. So maybe somebody could come back to me an idea of what the total diesel bill look.
Fernando González: Yes. We will do that. Yes, I’m sorry. I think we were saying that when somehow the line got disrupted. So we will get back to you with that, Mike.
Mike Betts: Thank you very much.
Fernando González: Thank you, Mike.
Maher Al-Haffar: Thanks.
Operator: Next question comes from Gordon Lee from BTG. Your line is muted. Please unmute it.
Fernando González: Gordon, if you’re there we don’t hear you for some reason or other. Operator, maybe we can go to the next question.
Operator: Okay. And we have time for one more question from Yassine Touahri from Exane BNP Paribas.
Yassine Touahri: Good morning. A question on aggregate pricing in the United States. I think you are publishing year-over-year evolution of aggregate pricing in the U.S. of minus 1%. It’s not very consistent with what some other company’s activities. Is there anything related to mix and still could you give us an indication of what is real of high-teen in aggregate in U.S? And then I would have second question on your volume guidance in the U.S., you’re expecting mid-single-digit increase in cement volume in 2015. That’s quite a strong growth in H2 probably 5% to 10%. Again, I understand that in July you have in cement, but do you have any color of what’s going on in July, is it [indiscernible] that you could have high-single-digit growth in cement volume for the second part of the year?
Fernando González: Yes. Hi, Yassine. Good question on the aggregates. I mean we are -- frankly, I mean, it is difficult to compare our results to some of the other players in the U.S. because of our footprint and because of our project exposure. And we use a lot of our aggs in different ways. I mean, I think that our competitors are not only selling to ready-mix and construction projects, they are using it also in road construction, asphalt, and other things. So they have certainly a different dynamic than us. We’ve introduced a $1 to $2 price increase in East Texas in April, and we think we are getting pretty decent response to that. I mean other than that, I can’t comment now on the pricing. On the volume expectations for cement, yes, you're right, I mean given where we finished the first half of the year, we need to have some fairly healthy growth in the second half of the year in order to get to our guidance for volumes in cement and we are optimistic about that. I mean, just as a reminder, our segments -- our demand by segments, 30% from residential, a little bit more than 15% infrastructure, and a little bit under 20% in industrial-and-commercial. Residential, we're expecting high-teens, mid to high teens growth. Permits in the first half are up 16%. You heard the comment I made to Mike earlier about the Florida permits up 20%. California is also growing at 20%. So several of our markets on the residential side continuing to grow mid to high teens and that should really deliver in terms of the growth in the second half. And you heard me to say that in July, as weather got a little bit better volumes ticked up quite rapidly. On the infrastructure side, I mean frankly, we’re expecting very timid growth and that's low-single digits and we do expect that. Assuming again there is some resolution on the highway bill and assuming that some of the large projects are starting in the second half in Florida. In industrial-and-commercial, we’re quite constructive on that, I mean spending year-to-date is up 30%. The project initiation is impacted because the way these guys actually count the numbers that they actually physically go and check the projects on the ground. And so if the weather is bad, there's no activity. So you see the negative number one. In reality actually projects are likely to continue to pick up as weather gets better. And Florida is growing high-single digits in that. So we are optimistic about the demand in the second half of the year and we feel comfortable with the guidance that we’re giving.
Yassine Touahri: Thank you very much.
Fernando González: Thank you.
Operator: I’d now like to turn the call back over to Fernando González for closing remarks.
Fernando González: Thank you all for your participation… CALL ENDED ABRUPTLY